Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CPSI Third Quarter 2018 Earnings Conference Call. [Operator Instructions] And a quick reminder, today's conference is being recorded. It's November 1, 2018. All right. Now my pleasure to introduce Boyd Douglas, President and Chief Executive Officer of CPSI. Please go ahead, sir.
Boyd Douglas: Thank you, David. Good afternoon, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including, but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. Joining me on the call today will be Matt Chambless, Chief Financial Officer; and Chris Fowler, Chief Operating Officer. At the conclusion of our prepared comments, the 3 of us and David Dye, our Chief Growth Officer, will be available to take any questions you may have. As you know, CPSI and our family of companies are transitioning from being a market leader of healthcare software to a leader in software products and services for the communities that we serve. As TruBridge nears the $100 million mark in services revenue, we believe there is significant opportunity ahead of us. Helping to shape and secure the future of community healthcare is what will drive this transformation and the benefit to CPSI in this process is exciting. As we put greater focus toward TruBridge, consistent trends and the key outcomes continued to substantiate market demand and opportunity for CPSI. Of the $7.3 million in TruBridge bookings in the third quarter, 82% came from cross sales into our acute and postacute EHR client base, which speaks to our client loyalty and the propensity for repeat purchasing across all CPSI companies. Recurring revenue from TruBridge sales continues to increase year-over-year and now represents 43% of all CPSI recurring revenue. As you know, growing recurring revenue continues to be a focus for us and, as such, we are pleased that total recurring revenue for the company grew 4% over the same period last year. On the Evident side of the business, our new system sales contractual win rate hit an all-time high. However, net new bookings of these systems were disappointing, primarily driven by lower-than-average contract size. We do expect contract amounts to return to more normal levels as we close out the year. We also remain confident in the strength of that particular pipeline as we expect it to generate 25 to 30 new EHR system contracts on an annual basis for the foreseeable future. In addition, our 97% client retention rate, along with our continued success and growing interest in TruBridge services from our EHR client base, keep us extremely optimistic as we head into 2019. Contributing to this momentum from our client base is the appeal of our nTrust offering. While this subscription model has been available for more than a year, we have seen a spike in sales activity for this combined offering of our EHR with the revenue cycle solutions from TruBridge. With our renewed commitment to driving innovation through our shared set of solutions, clients can see real value in this pay-as-you-go, low-risk way of having access to current and future applications from CPSI. Converting clients from their original, more traditional license and maintenance fee structure to this subscription model helps our clients manage to a long-term plan and budget with us. And while this helps us to meet our objective to grow recurring revenue, the more strategic value is our ability to help improve our client's financial stability and, ultimately, help secure the future of community healthcare. We believe the addressable market for our TruBridge services is sizable and will no doubt contribute to CPSI growth well into the future as community healthcare continues to transition toward value-based care. Moving to our postacute business, American HealthTech. We are almost halfway into our 24-month development plan to reinvent the AHT EMR solution. We're extremely pleased with the progress we have made on this project as client feedback continues to exceed even our own expectations. We've completed the first phase of the plan, AHT 18, which is now generally available and live at 150 customer sites. Most importantly, we are on time and under budget with this exciting initiative. Furthermore, we are now utilizing this new development and rollout strategy in other areas of our business, which will translate into more accelerated development cycle across all business lines of our company. Turning to our capital allocation strategy. It has been a year since we made the decision to adjust the quarterly dividend payout to $0.10 per share. The dividend adjustment has allowed us to inject targeted investment in the solutions across our family of companies while delivering on our commitment to regularly pay a quarterly dividend to our shareholders. We are nearing our target leverage ratio of 2.5 times as we are currently at 2.7 times. We continuously explore adjustments to our capital allocation strategy in order to maximize shareholder value and to ensure continued success of our company. As we near our leverage goal, we expect to become more aggressive in R&D and continue to look for opportunistic acquisitions, particularly within the TruBridge business. Now let me update you on our longer-term strategy. For two years now, we have made consistent progress in showcasing CPSI as a healthcare solutions company, fighting for stronger communities through vision, innovation and collaboration. Through our family of companies, CPSI is positioned better than any other company to connect communities, patients and providers to improve the quality of their health care well into the future. In the simplest terms, we have a three-pronged approach to how we will successfully continue our evolution from a market-leading provider of software to the leading provider of software and services to the communities we serve. Those three areas of focus are the continued expansion of TruBridge market share; aggressively pursuing all competitive and vulnerable EHR replacement opportunities; and lastly, differentiating on a client experience that enables us to sell a broader set of services into a loyal base of clients that are our advocates. Additive to this strategy is the international expansion that we will continue to pursue where our software and services are relevant. We continue to make progress in this effort and we feel good about our prospects and engagements in this new market. Before I hand this over to Matt, I want to quickly highlight a couple of factors that are driving our optimism for a very strong finish to our year. In addition to the robust pipeline of sales activity for our EHR systems and the TruBridge services that I have already covered, we have 13 new hospital system installations that are scheduled to be completed in the fourth quarter. This represents the highest number of quarterly installs that we've done in 8 years. 12 of these 13 installations will translate to immediate revenue recognition upon completion. Finally, as we highlighted last quarter, our management of operations across all CPSI companies is driving efficiencies and real cost savings. We continue to make good progress and are on track to garnering an estimated $10 million in incremental benefit to our bottom line in 2019 based on the 2018 expense exit run rate. With that, I'll turn the call over to Matt for a look at the financials.
Matt Chambless: Thanks, Boyd, and good afternoon, everyone. The healthy implementation calendar, a stable acute care EHR customer base and continued execution on the TruBridge growth strategy resulted in a terrific quarter for CPSI. Revenues, GAAP and non-GAAP EPS and adjusted EBITDA all improved both sequentially and year-over-year, with EPS amounts being further bolstered by discrete tax adjustments to the tune of roughly $0.21 per share. Total revenues are up 2% sequentially and 3% year-over-year. GAAP EPS is up by a factor of over 20% sequentially and a 141% year-over-year. Non-GAAP EPS is up 132% sequentially and 84% year-over-year, and adjusted EBITDA is up 47% sequentially and 8% year-over-year. Operating cash flows for the quarter increased for the second consecutive period to $7 million or nearly 3 times the same period last year as the combined power of our sizable recurring revenue base and cash conversion on past MU3 revenues propelled this to our best cash flow period since the first quarter of 2017, all while faced with a $4.3 million further expansion in financing receivables. Recurring revenues made up 81% of revenues for the period and 79% of trailing 12-month revenues. TruBridge bookings showed a 15% improvement over the second quarter but are down 31% from Q3 2017's record bookings, which were propelled by a high volume of high-dollar contracts. This volatility in high-dollar contracts masks a strengthening trend in our core market for TruBridge services, with bookings for contracts valued at less than $500,000, increasing 17% over the third quarter of last year to $5 million this quarter, and the past two quarters, setting high water marks for this key booking demographic. However, the software side of our business continues to experience bookings volatility, with system sales and support bookings down 33% sequentially, primarily as both net new and add-on bookings for our acute care EHR business posted soft numbers this period. Q3 2017 system sales and support bookings made for a tough comp as that period $8.4 million of MU3-related bookings have decreased to only $600,000 of such bookings during the current quarter, causing most of the $9.7 million bookings decline in our EHR business. Of the $11.5 million in system sales and support bookings, roughly $800,000 is included in our third quarter revenues, $9.5 million represents non-subscription sales that should trickle into revenue over the next 12 months, with an average lag between booking and install of five to six months. $1.2 million represents EHR subscription revenue to be recorded over a weighted average period of five years, with the start date in the next 12 months, and similar to our non-subscription sales, an average lag between booking and install of five to six months. Our $7.3 million of bookings from TruBridge are fully comprised of recurring revenues to be recorded over a one year period, starting in the next four to six months. Six customer sites went live with our Thrive acute care product compared to three in the previous quarter and nine in the third quarter of 2017. None of this period's go-lives were under our cloud or subscription model compared to one each for the second quarter of 2018 and third quarter of 2017. The six go-lives this quarter were less than the expected 8 we mentioned last quarter as two moved to the fourth quarter. At this time, we expect 13 new client facilities to go live with our Thrive solution in the fourth quarter of 2018, with one expected to go live in a cloud environment. Our employee headcount as of September 30 was roughly 2,050, a 1% decrease from the June 30 number. Turning to the income statement. TruBridge posted results that were relatively flat sequentially with revenues up 9% over the third quarter of 2017, with year-to-date revenues eclipsing prior year amounts by 15%. Specific to the quarterly numbers, Accounts Receivable Management and medical coding services continue to propel revenue – recurring revenue growth. Accounts Receivable Management revenues increased 32% year-over-year as hospital clients continue to partner with us for their full business office needs, and medical coding revenues increased 25% year-over-year as providers continued to view TruBridge as a full-service RCM partner. Margins were relatively flat at 45% for the period compared to 46% in the second quarter and 44% in the prior year. System sales and support revenues increased $1.7 million sequentially as the improved implementation schedule and higher non-MU3 add-ons were able to outpace the $0.5 million decline in MU3-related revenues. Specifically, net new acute care EHR revenues were up $800,000 and non-MU3 add-ons were up $1.5 million. Year-over-year revenues were relatively flat as the $1.4 million increase in the MU3 revenue has overcome a relatively lighter implementation schedule for net new and non-MU3 add-ons. To date, we've recognized $25.2 million in MU3-related revenue, with live to date bookings of $29.3 million. Of the remaining $4.1 million of MU3 bookings in backlog, we currently have $1.9 million scheduled for implementation and revenue recognition during the fourth quarter of 2018. Our costs of system sales and support were relatively flat sequentially and down 2% from the prior year due to improved travel costs as a result of a more efficient implementation approach. The flat sequential costs, coupled with the sequential increase in revenues, resulted in margins improving from 54% to 56%, while cost improvements, coupled with flat year-over-year revenues, saw margins improve from 55% to 56% year-over-year. Product development costs were flat sequentially and increased $1.1 million or 13% year-over-year due to our strategic initiatives designed to improve provider adoption and clinical workflow and rejuvenate our postacute offering. Sales and marketing costs were relatively flat sequentially and decreased $1 million year-over-year, primarily as the third quarter of 2017's heavy net new implementation calendar led to higher commission costs during that period. General and administrative costs decreased $2 million from the second quarter despite $900,000 in severance costs associated with our recent Voluntary Early Retirement Program. The overall cost decrease was driven by improved employee health costs and reduction in costs associated with our National Client Conference, which was held in May. Year-over-year costs were up $1.8 million, half of which is attributable to the aforementioned $900,000 in severance costs, with remainder attributed to a $400,000 increase in stock-based compensation and a $400,000 increase in bad debt expense. Lastly, our effective tax rate during the quarter was a tax benefit of 54%. As we mentioned in the press release, we recently adopted the IRS' recent ASC 730 Safe Harbor Directive related to our research and development tax credit, which provided a beneficial alternative to the traditional approach of determining qualified expenditures. The overall result was an incremental $3 million tax benefit captured during the third quarter, which included adjusting the amount previously estimated for the 2017 tax year now that those returns have been filed with an R&D credit of $2.2 million. And with that, I'll now turn things over to Chris Fowler, our Chief Operating Officer.
Chris Fowler: Thank you, Matt, and good afternoon, everyone. As we draw near a $100 million in revenue for TruBridge by the end of this fiscal year, we have a great sense of pride. Five years ago, we were just under $50 million in revenue, and there are a number of factors that are fueling this momentum. As Boyd outlined earlier, TruBridge is a tip of the spear in our evolution to becoming a leading provider of software and services. Today, 20% of the U.S. hospital market calls TruBridge their RCM partner, but our efforts to expand the footprint of our market share over the last five years started with an emphasis on our EHR client base. The range of TruBridge services is broad but those that are driving the greatest demand right now are associated with our RCM suite of services, which include, for example, Accounts Receivable Management Services, Private Pay, medical coding and more. Each of these offerings, independently, under the umbrella of our RCM Suite, has a client penetration rate between 10% and 20%. Taking a step back and looking at this from the RCM suite level, we have penetrated 35% of our more than 4,000 clients across our acute and postacute base today. A typical contract for our RCM suite is multiyear, with an average price range of $40,000 to $50,000 each year. The opportunity solely attributed to our EHR client base is significant and has the ability to make a powerful impact for all of CPSI. These client partnerships have led to some impressive results and are the driving reasons behind the recent accolades TruBridge has been awarded by third parties, including the prestigious designation of peer review by HFMA and most recently recognized as the top-ranked provider for end-to-end RCM software technology and RCM outsourcing services for hospitals under 100 beds by Black Book research. Our work and attention to increase the saturation of our EHR client base has been and will continue to be persistent. There is great opportunity to help improve our client's financial stability and secure the future of community healthcare. Earlier this year, we expanded our sales and marketing efforts to increase TruBridge market share outside of the CPSI client base, particularly upmarket. We like our prospects and believe we are gaining good traction. Looking to our third quarter results for TruBridge, the $7.3 million in bookings were the highest in the past four quarters and up 15% compared to the last quarter. The top three contributors were the $1.1 million from net new contracts outside of the CPSI family of companies, $1.8 million generated by our RCM suite and nearly $2 million that were associated with our nTrust package, which includes ours. Our recent revenue results were also good with just a small decrease of 1% over last quarter but up 9% over the same period of time last year. While there can be some bumpiness from quarter-to-quarter in the revenue associated with RCM, due primarily to varying client volumes, the individual offerings under the RCM suite have enjoyed double-digit revenue growth. For example, Accounts Receivable Management has 39% revenue growth year-to-date compared to the last year and medical coding currently has 79% year-to-date compared to the last year growth in revenue. Considering nTrust represented nearly $2 million in bookings this quarter, I'd like to provide some additional insight around the increased interest in this offering that couples our EHR add-on products, interfaces and ongoing maintenance cost with TruBridge RCM services, very much like a SaaS model. nTrust is offered in the net new EHR sales process as well as to our EHR clients that are looking to shift from the traditional license model of an EHR. Following our National Client Conference in May, we have seen a real spike in our opportunity pipeline for nTrust. We believe one of the driving reasons for this upswing in client interest is due to the innovation we showcased around our development efforts with our shared set of solutions, which are applications that can be leveraged across one or more of our EHRs. These applications reflect an intuitive user interface, require minimal end-user training, are integrated with key workflows, and most importantly, have heavily influenced – are heavily influenced by client input throughout the development process. We're building these applications with an architecture which depends upon a suite of containerized micro services, accelerating the process of building functionality, expanding future scalability and allowing us to bring valuable new solutions and improvements to our clients in a more efficient manner. This renewed commitment to innovation from CPSI, which is delivering new applications across our acute and postacute businesses, has increased the value of the nTrust offering for clients. The win here is that clients have assurance in knowing that CPSI shares in the risk and CPSI benefits from the compounding gains of a long-term reoccurring stream of revenue. And with that, David, please open the line for questions.
David Dye: Operator, if you could please open the call for questions.
Operator: [Operator Instructions] First question coming from the line of Jeff Garro from William Blair & Company. You may now proceed.
Jeff Garro: I want to ask how results are tracking relative to plan. Understanding the shortfall in software-type bookings and that's something, I think, we've seen from many industry participants, but just overall, on both the top line and margins and then if you could kind of translate the end-market activity demand level to what you see going forward for visibility into future results.
David Dye: Yes, Jeff, this is David Dye. I think, overall, if you think about bookings, I think, we're really pleased with where we are year-to-date and for the quarter. You can always do better but we feel good about that. I think, from the EHR perspective, I think all 3 of the prepared comments mentioned that we would like to do better on that than we did in the third quarter and the things are very promising for the fourth quarter. There's a lot of activity, our win rate's good, but as I think you noted from us and from some of the other players in the marketplace, the activity is just a little slow right now, but the pipeline is very good and we feel very good about our win rate. And as Boyd mentioned, we feel really good about our 25 to 30 new installs per year that we – that's our goal and that we feel like we can track for the next several years. As far as the – as far as how we're tracking, our stated goal was to get to approximately a 20% gross margin in 2019-2020 range. Given what we have going on with recurring revenue growth and our cost-cut measures for 2019, we feel really good about that as well.
Jeff Garro: Great. And then maybe the follow-up on the bookings activity. You mentioned a high win rate, but maybe you could dive into some of the other drivers specifically? What's RFP activity like in terms of volume? And what's driving the contract size down a little bit that you mentioned? And then, maybe, also a comment on the competitive environment then – and maybe why you're seeing that high win rate?
David Dye: Yes. The RFP volume is good, which is why we made the commentary about the pipeline. I would say it's not what I'd call stellar, but it's solid. Boyd mentioned that we feel good about getting the average contract size sort of backup to normal size. The contributor to a smaller-than-average size in the third quarter is that we signed a few financial-application-only deals in large epic hospitals in the Midwest, where they just putting our financials, which isn't something that – we've done some in the past, but it's not something that we typically had more than 1 in any quarter. We had, I think, 3 in the third quarter which drove that down. We don't anticipate a whole lot more of that in the next couple of quarters. I think your next question was around competition. I wouldn't say that it's changed a whole lot. We're still competing a lot with MEDITECH and Cerner, maybe a little bit less with Athena, given the situation there, that would be the – those would be the competitors that we see in almost every deal.
Jeff Garro: Great. That's helpful. One last one for me. Talking about the spike up in interest in nTrust. I'm curious if there's any particular type of facility that's become interested in that. Are they longtime clients? Are they prospects from outside your base? I know you talked about the innovation that you're delivering there. Maybe a concrete example or 2 of what's new and different that you're bringing to the table there, I think would be helpful.
ChrisFowler: Jeff, this is Chris. First part of your question, it really kind of spreads the gamut. We're seeing it both on the net new side based on the competitive market, and that is something that we're seeing specifically from one competitor. So we're seeing it on that side. And on the inside of the base, it ranges from customers that have been on the system for 15 years to those that have been on the system for just a handful. A specific example, we've got several hospitals that still are in need of our clinic software and our ED as well as the BI. And those are some of the drivers that we're starting to see hospitals really look towards the nTrust model for.
Operator: [Operator Instructions] Next question coming from the line of Mike Ott from Oppenheimer.
Mike Ott: Last call, I believe you'd expected 18 installs here in the second half of 2018. It's now, I believe, Matt mentioned 6 were done in 3Q and the release says 13 more expected in 4Q. So if I'm doing the math right, just so I confirm that you were able to pick up 1 new install for the second half for 2019 total?
Boyd Douglas: Yes. That's correct.
Mike Ott: Okay. Excellent. And believe, last call, you guys discussed $11 million of revs related to MU3, shifting out to 2018 into 2019, was the shorter attestation period. I just wanted to confirm if that's still the case. And if so, is that – do you expect that to be more second half-weighted in 2019?
Matt Chambless: Yes. So we – on the last earnings call, the expectation was a little bit up in the air as far as what the second half of 2018 was going to hold for MU3 revenue. We're a little bit more bullish now about what's actually going to pull into 2018 for MU3. And so that naturally limits – provides a bit of a limiting factor on what's going to happen in 2019 for MU3. But just to kind of encapsulate everything MU3-related, and we booked $600,000 of MU3 bookings during Q3. And that was somewhat down from the second quarter's $1.2 million. So live to date bookings of $29.3 million. This quarter, we recognized $3.1 million of revenue, which was a topside surprise for us. That brings the live to date revenue number to $25.2 million. So that leaves us with $4.1 million for the backlog for deals that have already been captured in bookings. We think – we still think that the total potential opportunity there is in that $35 million to $40 million range. So there is still considerable go-get left out there of $5 million to $10 million. As for the timing of the remaining rev rec, we mentioned in the prepared remarks that we expect – right now, we have scheduled $1.9 million of MU3 revenue for Q4, with the potential for more to fall in 2018, but that's what's scheduled right now. So the annual spread, if we look at the total population now, the total universe of MU3, $14 million 2017. Right now, 2018 is looking like $13 million, and with the remainder of that coming in 2019 with the range somewhere between $8 million and $13 million, but a lot of that's still sales-dependent, obviously.
Operator: Next question coming from the line of Gene Mannheimer with Dougherty & Company.
Gene Mannheimer: I wanted to just follow up on the pushout, if you will, of some of those installs from Q3 to Q4. So if you had 8 scheduled, 2 of them slipped, so now you have 13 slated for the fourth quarter. Realistically, wouldn't we expect a few of those to slip out as well into 2019?
Boyd Douglas: Gene, that's a possibility. The two that slipped are start-ups, and so best guess and what they're telling us, the client opened the doors here in Q4 and certainly they need a system to do that, but as you know, with construction projects, that potentially could happen, but given that they've already slid once, we feel confident that they're going to go into the fourth quarter.
Gene Mannheimer: Sure. Understood on that, but what about the other ones that you had – are on the docket for Q4? I mean, it seems like there's some slippage generally.
David Dye: There aren't any others that are start-ups, so we wouldn't expect to have any slippage besides those that are potentially – than those that are start-up. The slippage of hospitals that aren't start-ups is very rare.
Gene Mannheimer: Okay. Good to hear that. And with respect to some of the interest you're seeing in the combined offering of EHR with RCM services, how do those margins look as you make that transition from license and maintenance to subscription? Is that – do they get compressed much?
Boyd Douglas: Yes, a little bit. So overall, from a support standpoint on the Evident side or on the EHR side, they remained pretty consistent. And with the TruBridge side, we're typically around that 35% margin. And Matt's still recognizing that in the independent business unit. So it should not have any translation or any change in what you're seeing going forward.
Gene Mannheimer: All right. Good to hear. Great. And also with respect to some of the innovation you're putting out in your AHT business. You indicated you're installed in a 150 sites with your AHT 18. How many – what's the total number of sites there? And is this a revenue event? Or is this upgrade included in those customer maintenance agreement?
ChrisFowler: Yes. So Gene, it's Chris. We're right at 600 organizations on the AHT side. What they have gone live with is some of the infrastructure. There are some opportunities for revenue down the road. We're still finishing up some of those pieces. BI is being introduced into the AHT market, for example. So that's something that we can give additional color to as we get further into this process.
Operator: [Operator Instructions]` And next question coming from the line of Stephanie Demko from Citigroup.
Judy Zhang: This is Judy Zhang on for Stephanie. I was just wondering if you can comment on the softness on the systems sales and support side? And absent any tough macroenvironmental factors, are there any investments that you're making in your internal teams to improve on this metric?
David Dye: Are you talking about on the revenue recognition side or on the booking side?
Judy Zhang: On the booking side.
David Dye: Yes. We've addressed that in the previous question, but I think that, again, we were happy with our win rate. We feel good about our competitive position. It's improved. We feel good about it over the last 12 to 24 months, but it certainly improved in that period of time, I think, a lot because of the things that we've done but also from some struggles with some of the competitors. Obviously, we've got some headwinds as a result of the fact that MU3, the majority of that's been booked, and that was not the case a year ago. So that's difficult from a comp perspective. We do expect that the average contract size will go up for the reasons that I previously gave. We do feel good about the pipeline. There's a solid number from an RFP numbers perspective. And we do expect that we'll be able to continue to install 25 to 30 per year in the next several years.
Operator: All right. It appears to be no further questions queued up over the phone lines. Let me the call back over to Mr. Douglas.
Boyd Douglas: Great. Thank you, David. Thanks, everyone, for your time today. In closing, I'd like to reiterate that we're very pleased with the quarter's overall results, including a steady progress and growth being shown by TruBridge and our optimism for a strong fourth quarter in 2019. Thank you for your time. Good evening.
Operator: And ladies and gentlemen, that will conclude the conference call for today. Thank you for your participation, and you may now disconnect your lines. Thank you.